Operator: Good day, ladies and gentlemen, and welcome to the MSCI Third Quarter 2023 Earnings Conference Call. As a reminder, this call is being recorded. At this time, all participants are in a listen -only mode. Later, we will conduct a question-and-answer session, where we will limit participants to one question at a time. We will have further instructions for you later on. I'd now like to turn the call over to Jeremy Ulan, Head of Investor Relations and Treasurer. You may begin.
Jeremy Ulan: Thank you. Good day, and welcome to the MSCI Third Quarter 2023 Earnings Conference Call. Earlier this morning, we issued a press release announcing our results for the third quarter 2023. This press release, along with an earnings presentation and a brief quarterly update are available on our website, msci.com, under the Investor Relations tab. Let me remind you that this call contains forward-looking statements, which are governed by the language on the second slide of today's presentation. You are cautioned not to place undue reliance on forward-looking statements, which speak only as of the date on which they are made, are based on current expectations and current economic conditions and are subject to risks and uncertainties that may cause actual results to differ materially from the results anticipated in these forward-looking statements. For a discussion of additional risks and uncertainties, please see the risk factors and forward-looking statements disclaimer in our most recent Form 10-K and in our other SEC filings. During today's call, in addition to results presented on the basis of US GAAP, we also refer to non-GAAP measures. You'll find a reconciliation of our non-GAAP measures to the equivalent GAAP measures in the appendix of the earnings presentation. We will also discuss operating metrics such as run rate and retention rate. Important information regarding our use of operating metrics such as run rate and retention rates are available in the earnings presentation. On the call today are Henry Fernandez, our Chairman and CEO; Baer Pettit, our President and COO; and Andy Wiechmann, our Chief Financial Officer. With that, let me now turn the call over to Henry Fernandez. Henry?
Henry Fernandez: Thank you, Jeremy. Good day, everyone, and thank you for joining us. In the third quarter, MSCI delivered impressive results in an uncertain environment. Among other highlights, we achieved adjusted EPS growth of over 21%, total revenue growth of 12%, recurring subscription run rate growth of 12% and a retention rate of 95.4%. Amid turmoil in global markets, rising geopolitical tensions and a challenging operating environment are highly diversified by all weather franchise continues to drive strong financial performance. We recognize that in this uncertain environment, our capital allocation decisions are more important than ever. In the first nine months of this year, we returned $459 million to the owners of MSCI in the form of share repurchases and more than $329 million in the form of dividends. This signals our confidence in MSCI's long-term prospects and our commitment to be a compounder for shareholders. We're also committed to prioritizing high growth and high potential investments while maintaining high levels of profitability. We recently capitalized on two opportunistic strategic acquisitions. With the completed acquisition of Burgiss, MSCI can now provide additional clarity and transparency, highly needed by investors across private and public assets in their portfolios. Over the past 36 years, Burgiss has created greater private asset transparency while serving institutional investors such as special funds, endowments, foundations and family offices. Combined with our private real estate franchise, MSCI now has the world's largest highest quality private asset class database, covering more than $60 trillion of assets. We believe, we now have a unique and a strong foundation of data and analytics to build standards such as benchmark indices, performance, risk, liquidity, pricing and asset allocation models and other tools. In effect, our goal is to develop the MSCI of private assets. As for MSCI's announced acquisition of Trove Research, Trove is a world-renowned source of intelligence on the voluntary carbon market. We believe this market will play a significant role in helping institutional investors and companies reduce climate risk. All markets drive on reliable, uniform standards and robust transparency. As the world pushes for net zero emissions, investors need to understand whether companies are making real progress and how they are using carbon credits. Likewise, companies need to understand the value of the credits they are buying and selling. By integrating the data, analytics and capabilities of Trove with our own comprehensive climate solutions, MSCI will have a robust suite of tools to promote clarity and consistency in the voluntary carbon market. Both of these acquisitions, Burgiss and Trove, advanced MSCI's larger business strategy and mission of providing tools for the investment world to systemically understand and measure performance and risk, which leads to more optimal asset allocation and portfolio construction. We aim to capture major trends across the investment landscape, including the continued allocations to private assets and the growing incorporation of climate as a material driver in the repricing of securities and the reallocation of capital. Our product lines are increasingly interconnected, which means our work in private assets reinforces our work in climate and vice versa. For example, together with Burgiss, we previously developed a tool that offers climate data on around 50,000 private companies and more than 6,000 private equity and private debt funds. In summary, MSCI continues to benefit from our resilient business model underpinned by rigorous financial management and a strong secular tailwinds. From our recurring revenue business model to our mission critical solutions, we believe MSCI remains well-positioned in any operating environment. And with that, let me turn the call over to Baer.
Baer Pettit: Thank you, Henry, and greetings, everyone. In my remarks today, I'll build on what Henry said about Burgiss, discuss our third quarter results by product line and highlight our regional performance in Asia Pacific. Our acquisition of Burgiss, which we completed earlier this month, position MSCI to serve investors and managers across all asset classes with a world-class platform for delivering total portfolio investment solutions and one of the industry's largest private asset databases covering more than 13,000 bonds. As Henry mentioned, Burgiss deepens our existing presence with pension funds and sovereign wealth funds while helping MSCI expand our presence among client segments, such as endowments, foundations and family offices. We are well underway with integrating the 650-plus Burgiss employees and the roughly 1,000 Burgiss clients into our operations, and we look forward to providing updates on our progress. Turning to our Q3 results. MSCI achieved another solid quarter of performance across client segments and product lines. At the client level, we delivered subscription run rate growth of 15% collectively among wealth managers, banks and broker-dealers, hedge funds, insurance companies and corporates. And for our largest client base, we delivered around 10% growth amongst asset owners and asset managers combined. As those numbers indicate, we have maintained our strength and momentum across all client segments. Looking at our product lines. In index, we posted our 39th consecutive quarter of double-digit subscription run rate growth of 11%. Meanwhile, total direct indexing AUM based on MSCI indexes increased by 68% to $95 billion. We also saw increased index licensing from hedge fund clients, where new recurring subscription sales more than doubled, reflecting growth from both market cap-weighted modules and our float data. In addition, MSCI won a big strategic mandate to build client design indexes for one of America's largest wealth managers. This demonstrates how we continue to capitalize on rising demand for tools to support portfolio customization at scale, a trend that is especially visible in the wealth segment. Turning to analytics. We delivered subscription run rate growth of 7%, resulting in over $639 million of run rate and a near record retention rate of 95.1%. Globally, we posted recurring sales growth of 30% in enterprise risk and performance driven by a significant number of large deals with asset managers and asset owners. For example, MSCI completed one of our largest ever liquidity analytics deals covering both regulatory reporting requirements and liquidity risk management. Despite pressures on equity managers, we also grew equity analytics by 11% to nearly $200 million in run rate. In ESG, we delivered 21% run rate growth across our product lines for, taking our run rate to $387 million, while posting a retention rate of 96%. At the regional level, the regulatory environment continues to ADSG sales in EMEA, and our solutions continue helping clients navigate new requirements. In Climate, we achieved 49% run rate growth across our product lines from Y, where we now have $98 million of run rate including $68 million of subscription run rate growing by 49%, which had a retention rate of 97%. In addition, AUM and MSCI index-linked climate ETFs increased by 64% to $71 million while MSCI index-linked climate equity non-ETF AUM increased by 75% to $107 billion. Finally, in real assets, we posted total run rate growth of almost 10%, along with a retention rate of 91%. Geographically, our Q3 results were especially strong in APAC, where MSCI continues to benefit from the increasing scale and growing breadth of the investment industry and the reach. For example, in real assets, APAC achieved 15% run rate growth and grow strong sales with asset owners, including for our real estate index Intel and Performance Insights tool. In Index, APAC delivered recurring subscription run rate growth of almost 15%, bringing our footprint to approximately $178 million. MSCI's underlying strength of the company reflects our increasingly diverse range of capabilities and clients across geographies. Those advantages become even more important during periods of market volatility and uncertainty. As a result, we continue to see high levels of client engagement across segments, products and regions. And we also see healthy pipeline as we approach the end of the year. Looking ahead, MSCI will remain laser focused on strong profitability, while continuing to invest in our business. And with that, let me turn the call over to Andy. Andy?
Andrew Wiechmann: Thanks, Baer, and hi, everyone. Our attractive financial model enabled us to deliver double-digit growth in the quarter across revenue, recurring subscription run rate and adjusted EPS. In Index subscription, we drove 9% run rate growth in our market cap weighted modules, high-teens growth in custom indexes and mid-teens growth in our ESG and factor modules. We saw strong subscription run rate growth from hedge funds, wealth managers and broker-dealers of 26%, 19% and 15%, respectively, all of which continue to support steady double-digit index subscription run rate growth. Asset-based fee revenues were up more than 12% year-over-year, benefiting from $55 billion of cash inflows and $186 billion of market appreciation over the last 12 months within equity ETFs linked to MSCI indexes. During the third quarter, cash inflows into ETFs linked to MSCI equity indexes were driven also entirely by ETFs with US and other developed market exposures. These cash inflows were supported by roughly $3 billion of flows into equity ETFs linked to our ESG and Climate indexes. And we continue to gain traction in fixed income with AUM and ETFs linked to MSCI and Bloomberg joint fixed income indexes reaching nearly $52 billion, growing more than 40% year-over-year. In analytics, subscription run rate growth was 7%, with continued strength in our factor models and our risk tools more broadly. Our investments in enhancing our content, our capabilities and the client experience, including through Climate Lab Enterprise insights and ESG and climate reporting services are driving new commercial opportunities across analytics. In our ESG and Climate reportable segment, the run rate growth was 25%, with 21% growth in ESG research and 44% growth in Climate. Relative to a year-ago, we saw lower new recurring sales in the Americas, which continue to reflect more measured purchasing decisions among US investors. However, new recurring sales in both Europe and APAC were essentially unchanged year-over-year. The retention rate in ESG and Climate segment remained healthy at 96%, although we did see slightly higher cancels resulting from client events at smaller institutions. Within Real Assets, run rate growth was 10%. We see momentum in our real estate index intel and portfolio offerings. Although, we continue to see the impact of industry pressures on our transaction data, most notably in client segments such as real estate brokers and lenders. While we expect the pressures to continue, we are encouraged by the long-term opportunity and the momentum we see in many of the market data, climate and portfolio offerings we are providing. We are also expanding our commercial real estate transaction database to include deals below $2.5 million and our data universe to include properties that have never transacted. As a reminder, beginning in the fourth quarter, we will report financial results for Burgiss in our all other private assets segment. To provide an update on the financial impact of Burgiss, we expect Burgiss to generate slightly above $90 million of rev for full year 2023, with revenues of $22 million to $24 million expected in the fourth quarter. The standalone Burgiss adjusted EBITDA margin is expected to be around 15% for full year 2023. However, we currently expect about $4 million to $5 million per quarter of allocations to Burgiss from centralized and shared costs on top of the standalone adjusted EBITDA. It is worth noting that these allocations are reallocated from other segments and will not impact firm-wide EBITDA. Given these allocations, we expect contributions from Burgiss to the adjusted EBITDA for all other segment to be minimal in Q4, although we expect some margin expansion from Burgiss next year. Meanwhile, as we've done in previous acquisitions, we will exclude certain integration-related expenses from our adjusted non-GAAP figures. More broadly on the capital allocation front, we continue to be opportunistic and capitalize on attractive opportunities as highlighted by our announced acquisition of Trove. We expect Trove, which has a few million dollars of run rate and which will be included in our ESG and Climate segment to be immaterial to our results in the near term. Turning to our guidance. I would highlight that our ranges incorporate the impact of Burgiss and assume that AUM levels remain relatively stable through the balance of the year. Expense ranges now reflect both the slightly elevated pace of spend as well as a full quarter of expenses from Burgiss, including a small amount of integration expenses that will not be from adjusted metrics. Our free cash flow guidance remains unchanged. Although we have slightly increased our CapEx guidance which continues to reflect a higher level of software capitalization and some elevated hardware purchases related to our hybrid infrastructure approach, which includes maintaining a presence in select on-prem data centers is to leveraging our public cloud partnerships. Our D&A guidance captures the additional intangible from purchase accounting adjustments related to the acquisitions. We've slightly lowered and narrowed our effective tax rate guidance, reflecting the impact of a nontaxable gain on our investment in Burgiss of approximately $140 million in the fourth quarter, which will be excluded from our adjusted metrics. Excluding the impact of this onetime item, we would expect an adjusted tax rate range for the full year that is about 1% higher than the effective tax rate range or 17.5% to 19%. Lastly, our interest expense guidance reflects our intention to draw a small amount on the revolver to provide some additional liquidity. Additionally, I would highlight that we expect lower interest income on our cash balances as a result of funding Burgiss. As of today, we currently have more than $300 million of cash on hand, which is in line with our minimum global cash balance range. Overall, we remain well positioned to drive growth. While we continue to see some budget pressures from clients in a slightly elevated level of client events, we continue to see healthy engagement from our clients in a strong pipeline to finish out 2023. We look forward to keeping you posted on our progress. And with that Operator, please open the line for questions.
Operator: [Operator Instructions] The first question is from Alex Kramm with UBS. Your line is open.
Q – Alex Kramm: Hey, good morning, everyone. I would like to talk about the index sales during the quarter. I think flat year-over-year. I think it was a tough comp and 3Q is generally a little bit lower seasonally. But just wondering if there's anything in particular you would highlight there both as -- in terms of the third quarter, but also as we think about the fourth quarter. And then maybe specifically on index sales, it looks like the custom index run rate was just marginally higher in the third quarter, quarter-over-quarter. So just wondering if that was a big and maybe why? Thanks.
A – Andy Wiechmann: Sure, sure. No, thanks, Alex. It's Andy here. I'd say nothing significant to note in the index results. I think you hit on probably the relevant points. More generally, I would say we continue to have pretty good momentum across module types and client segments. I think as Baer highlighted and I provided some more color, we had about 9% run rate growth in our market cap modules and mid to high-teens growth in our non-market cap-weighted modules. We had about 9% run rate growth from asset managers with solid double-digit growth across basically every other major client segment. As you alluded to, recurring sales were largely in line with Q3 of last year. Cancels were slightly higher, although the overall retention rate, we think, remains pretty good at 96.2%. Just on the cancels point, just to provide a bit more color there. We did have slightly higher cancels from mainly hedge funds and those were driven by client events, which we would expect in this environment. I'd say we do -- and this is something we've seen in recent periods, we do see some budget pressures from the environment and the equity markets more generally, although we do have very strong engagement and momentum heading into Q4, and we see that across client segments. And so as I mentioned, probably nothing too much to read into here, we continue to see good momentum across the franchise.
Alex Kramm: All right. Thanks very much guys.
Operator: The next question is from Alexander Hess with JPMorgan. Your line is open.
Alexander Hess: Hi, guys. Maybe stepping back to some comments from last quarter about accelerating product development within ESG and Climate, I want to know maybe where you stand as far as that goes, how the Google partnership fits into that, how the Trove acquisition fits into that and any other considerations we should keep in mind as far as when that might show up in net new?
Baer Pettit: Sure. Hi, Baer here. So look, for sure, ESG and Climate product investment is central to a lot of our day-to-day activities and looking forward into next year. In both areas, we see significant market opportunities as we've laid out before, and this includes a variety of things, including expansion of the data, certain regional expansions, notably in Asia Pacific for ESG, where we've got a lot of demand for new types of data cards, greater company coverage, et cetera. So I think in ESG, it's a steady story driven also by the hailwinds brought by regulation. Clearly, in EMEA, in Europe, which we've mentioned in the past, but also in other regions increasingly. And then finally, in Climate, we're definitely at the investment phase there across client segments and across different asset classes and increasingly tying into the comments today, there's demand for climate information and solutions in private markets as well. So I think those -- all of those areas are very consistent with our comments from previous quarters. And we'll continue to have a positive impact on the growth story.
Alexander Hess: Thank you, Baer. And if I could quickly get a follow-up in. Can you maybe comment on how one of your competitors shedding headcount through a large layoff program might impact their competitive positioning vis-à-vis you guys?
Baer Pettit: Yeah. Look, as you know, we love to discuss our competitors specifically in all areas, we avoid that. I would try to say more broadly that I think that we're in a strong position to compete in the core business. We're clearly committed to it. Certain competitors may not be providing exactly the same services that we are in this instance, this competitor was cutting back in an area where we've chosen not to compete, I think, wisely. So I think overall, we're very committed to being a leader in this area, and we're confident that even in a tougher environment, we can continue our leadership position.
Alexander Hess: Thank you.
Operator: The next question is from Toni Kaplan with Morgan Stanley. Your line is open.
Toni Kaplan: Thanks so much. I was hoping you could provide a little bit of extra color on ESG. It sounded from the prepared remarks like Europe maybe was somewhat flattish with America still under pressure. Just wanted to get a sense of if there are any catalysts coming up, if you're seeing more stability there that could help drives accelerated growth in upcoming quarters? Thanks.
Andrew Wiechmann: Sure, sure. Thanks, Toni. So I would say it's important to firstly underscore that we see a very strong engagement across ESG and Climate as we mentioned in the prepared remarks. And I think it's clear, and you can see this from the retention rate that ESG and Climate are becoming and probably are mission-critical structural parts of the investment process already. And so I'd say the dynamics are pretty consistent with what we've seen in recent quarters. We did to your point, see slower growth in the Americas. You know just to put a finer point on that, within the ESG and Climate segment, the growth in the Americas was around 15% versus 35% in EMEA and Europe and 22% in APAC. It's important to underscore that within ESG and climate, EMEA represents close to 50% of the run rate. So the largest region for us is growing at a pretty healthy growth rate of 35%. As I mentioned, sales were fairly flat year-over-year in EMEA and APAC, although they were softer in the Americas year-over-year. I think the dynamics that we're seeing in the US continue to play out where investors are being much more measured on how they integrate ESG and that's resulting in longer sales cycles, more deliberate purchasing decisions relative to what we saw a year plus ago. But I think given the range of users and use cases, as well as the strong engagement and retention rates that you're seeing, we're quite encouraged by the stability we've seen even in the Americas, even though it is a lower growth rate. I'd say the dynamics in EMEA continue to be the same. Baer alluded to this, but there's some element of regulation being a catalyst. It is also something that is resulting in longer sales cycles as well as investors and broader financial services firms to navigate these regulations, but it's one where we can be helpful to them as they think about how they're going to comply, and we have solutions and tools that will help on that front. There are some environmental impacts as well. It is worth noting that the equity investors, in particular, are under pressure, and we see some of that translating through to cyclical impacts. But we continue to have confidence in the long-term dynamics here and continue to believe this is a big long-term opportunity set for us.
Toni Kaplan: Terrific. Thank you.
Operator: The next question is from Manav Patnaik with Barclays. Your line is open.
Manav Patnaik: Thank you. Baer, in terms of the pipeline, the strong pipeline that you talked about, I was hoping you could just contextualize that a bit for us? I mean just if you look at the net new sales numbers, the first three quarters, it hasn't been that strong. So just perhaps what that looks like in Q4 and maybe how that -- how you see that heading into 2024? And then just a quick follow-up for Andy, just in terms of the margins that you gave us, for the fourth quarter. Maybe just some color, you increased the expense guidance, and it looks like Burgiss will be a drag for a bit next year. So just how should we think about if next year margins will just be constrained because of those dynamics?
Baer Pettit: So Manav, I think where you're talking about the overall sales pipeline at the firm. Am I correctly understanding that? Yes.
Manav Patnaik: Yes, that’s correct.
Baer Pettit: No, we think it's very healthy. We're very healthy. There's nothing there that would be abnormal of where we are today, allowing for the very uncertain environment for everyone, for our clients and some pressure on them. I still am happy to refer to it as either healthy or solid, right? So clearly, we're not generally here to try to fine-tune that excessively in the context of these calls, but there's certainly nothing there that I would call attention to other than to say it's solid and healthy and maybe pass it over to you, Andy, for the rest.
Andrew Wiechmann: Sure. Yes. So maybe I can provide some color on the broader expense guidance, and then I can touch on Burgiss, specifically and the potential impact to the broader margin on the company. If you remember last quarter, we commented that if AUM levels remain flat or increase for the balance of the year, we'd likely be towards the high end of our expense guidance range. AUM was largely flat during the third quarter. And so our organic expense growth was picking up a little bit as we were picking up the pace of spend and importantly, picking up the pace of investment a little bit. And so we are tracking towards the higher end of the range. That combined with -- and this is probably the bigger impact, Burgiss expenses, which will be coming in in the fourth quarter. So we will have a full quarter of adjust expenses in Q4 here are leading to the higher overall expense guidance here. I would underscore that, that range assumes AUM levels remain roughly flat through the balance of the year. But to your point about the impact on the overall firm margin, Burgiss is a lower margin business. As we commented on a standalone basis, the margin is in the mid-teens on Burgiss. And so just bringing that in will bring the overall firm margin down. And so as we start to have Burgiss results in our overall financial results during 2024, the margin will likely be lower compared to the prior year. Having said that, we do, as I commented, believe that there is nice operating leverage, positive operating leverage in Burgiss, given what they do, very similar to most of the things MSCI does is they generate IP-based products and solutions that have very attractive margin dynamics. And so if we continue to drive the growth that we hope in Burgiss, that should drive some margin expansion within Burgiss, but just looking on an apples-to-apples basis, the Burgiss expense base will bring the overall firm margin down.
Operator: The next question is from Kelsey Zhu with Autonomous. Your line is open.
Kelsey Zhu: Thanks for taking my question. I have a quick one on ESG and Climate. The run rate growth looks much stronger for Climate compared to ESG. I was wondering if you can tell us a little bit more about the key drivers behind the divergence between the performances between those two segments? And as you think about the long-term growth target for the second overall in the mid- to high 20s range, does that work similar across ESG and Climate? And lastly, just what net new subscription sales growth looks like for Climate and ESG separately in Q3? Thanks.
Baer Pettit: Sure. So maybe on -- there are a few questions in there, but I'll try to tackle them in turn here. So within Climate, it is a distinct offering. There is an overlap, and it is heavily related to our ESG research and ratings, then it feeds into it to varying degrees, depending on the company and the sector, but the solutions we have in climate are distinct. And so we offer a range of solutions that help clients to integrate climate considerations into their investment process, achieve Net Zero goals and overall climate objectives to navigate specific considerations in specific areas, as well as to understand systematically climate risk and how that can impact the performance of a portfolio. I would say climate, and you can tell this by the run rate, which is $98 million across all product lines at MSCI within our ESG and Climate segment it's around $54 million. It is small compared to ESG. And so, we're still very early in the adoption curve of climate tools. Clients are still evolving in their thinking and just beginning to integrate climate and they are really just starting to think about how to navigate everything from regulations to Net Zero objectives that they have. And so we would expect higher growth within Climate relative to ESG, where ESG, we've been providing for quite some time and I think is more established. It's still relatively young compared to other product lines. But it is more penetrated and I'd say more broadly used than ESG. And so we would expect climate to continue to drive outsized growth relative to ESG more broadly. I think you touched on the long-term targets as well. I would say, we haven't made any changes to our long-term targets in any area, including in ESG and Climate. As I was commenting on, we continue to be very excited about the long-term opportunities in both ESG and Climate. And as I alluded to on both fronts, we are still very early in the evolution of these areas, and there continue to be numerous opportunities for us across Client segments, asset classes, geographies, solutions. And so we continue to believe there is a big long-term opportunity in ESG and Climate. There are some cyclical factors at play which are impacting growth in the short term and other dynamics that we've talked about. But overall, we continue to think there is a big long-term opportunity where we are, I believe, quite well prepared to capitalize. I think, I gave some of this color to an earlier question. I think your last question was about ESG versus Climate growth in Q3. And in my prepared remarks, I did touch on that a bit. The ESG growth was around 21%. Within -- this is the subscription run rate growth for ESG was around 21%. This is within our ESG and Climate segment. And within Climate, it was around 45% for the run rate within our ESG and Climate segment associated with our climate tools. I think Baer mentioned the overall run rate for Climate is $98 million, and that was growing closer to 48%. And that cuts across tools in every product segment that we have.
Kelsey Zhu: Thanks so much.
Operator: The next question is from Ashish Sabadra with RBC Capital Markets. Your line is open.
Ashish Sabadra: Thanks for taking my question. I wanted to focus on pricing. Pricing was a significant deal went to net new this year. I was wondering, a lot of companies are talking about normalizing pricing as we get into next year. I was just wondering, if you could comment on how do you think about the pricing trend as we get into 2024? And have you seen any pushback on pricing, particularly for netting tax?
Andrew Wiechmann: Yeah. So we've -- to this point, we've been successful at rolling out higher price increases, although, it's modest increases relative to what we've done in the past. I would say in the third quarter, price increases contributed a comparable amount to what they've contributed in recent quarters. So across all product areas, price increases represented mid- to high 30% of new recurring sales within the index, it was 40% plus which is consistent with what we've seen in recent quarters. Clearly, there are varying degrees of pushback depending on the product and region and client type, and we are very cognizant of the fact that many of our clients are feeling pressure in the current environment. And so we try to be very measured and try to ensure that we are delivering value together with any price increases. So, we are very focused on ensuring that we're enhancing the solutions that we are rolling out pricing increases on. But also, oftentimes, we are delivering more product, more usage, additional solutions to clients together with price increases to ensure that we are adding value to them. We do monitor the overall market. One of the inputs, one of many inputs into our pricing equation is the broader inflationary environment. If inflation does continue to moderate, that will be an input into us potentially moderating price in the future, but it's something that we continue to calibrate. And as I said, the biggest factor is ensuring that we can deliver value to our clients when we do roll out price increases.
Ashish Sabadra: That's very helpful, sir. Thank you.
Operator: The next question is from Owen Lau with Oppenheimer. Your line is open.
Owen Lau: Hey. Good morning. Thank you for taking my question. I want to go back to expense guidance and ask the question a bit differently. So you raised the full year OpEx guidance by about $40 million and based on my math, Burgiss $20 million per quarter this year. And I think you mentioned $4 million to $5 million of acquisition-related expense. My question is, how about the rest of the expense increase? And how much of that incremental expense would be recurring in 2024? Thank you.
Andrew Wiechmann: Got it. I don't want to get into 2024 at this stage. That's something we will cover when we release our Q4 results as we typically do. I would just point to, and I made this comment to the earlier question. Our prior adjusted EBITDA expense guidance was $965 million to $995 million. We had said a quarter ago, if AUM levels remain flat or increase, we'd be towards the higher end of that range. And so AUM levels over the third quarter, as I mentioned, have been relatively flat. And so we -- on an organic basis, we're tracking towards the high end of that range. And then as you said, the Burgiss expenses before you layer on things like allocations and the integration expenses will add $20 million or so in that vicinity of additional expense. And so that's how you bridge to the new expense guidance that we put out.
Owen Lau: All right. That's fantastic. And I just want to add one quick question on ESG and Climate seasonality. So over the past few years, I think for net new recurring subscription sales of ESG and Climate was quite strong in the fourth quarter. Should we expect similar seasonality to continue this year? Thank you.
Andrew Wiechmann: Yes. I wouldn't -- I don't want to give specific color on segments. As Baer mentioned earlier that the pipeline is healthy, I would say, given the nature of our business. And as you alluded to, we do see some seasonality in the fourth quarter based on what you've seen in past years. I think there are a number of factors that feed into that, including client budgets, their purchasing decisions. We also have annual incentive plans that feed into that. And we also have the highest concentration of client renewals taking place in the fourth quarter. So for all those factors, we tend to see a higher fourth quarter. That's not always the case. But as we had mentioned, there's a healthy pipeline going into Q4.
Owen Lau: Sounds great. Thanks a lot.
Operator: The next question is from George Tong with Goldman Sachs. Your line is open.
George Tong: Hi. Thanks. Good morning. In ESG and Climate, you mentioned growth slowed in the Americas to 15%, while growth in EMEA was healthy at 35%. Can you elaborate on what you're seeing in the Americas and when you would expect to see catalysts for improved growth?
Andrew Wiechmann: Yes, sure. So I'd say, we're seeing consistent themes in the Americas compared to what we've seen in recent quarters. So as investors, managers, broader financial services firms are integrating ESG and launching ESG strategies or plan to launch ESG strategies, they have to focus on a range of considerations, including how it aligns with their overall investment objectives. So what is the impact that ESG considerations will have on risk and return? And how do I optimize my risk-adjusted returns by incorporating ESG into my investment process? How do I differentiate relative to my competitors? How do I address the ESG objectives that my clients have or that the investors have, and then for new products that they launch how do they communicate their approach to ESG and how do they again position themselves relative to other products in the market and how do they prepare forecoming regulations, which is not just a factor in EMEA, but it's something that US investors have to deal with as well. And so, it is a -- it's a complex environment for them to integrate ESG. The good news is we are in a good position to help them navigate that. And so when we say our clients are engaging strongly, they want to have those conversations with us. But because of that complexity, because of all those factors that feed into their buying decisions, we are seeing more measured purchasing decisions, longer sales cycles, ultimately a lower amount of sales. But overall, the engagement level is healthy, but we do expect these complexities and longer sales cycles to continue and persist for some time in the Americas. I think these factors at play on top of the cyclical factors will probably persist for some quarters here.
Operator: The next question is from Faiza Alwy with Deutsche Bank. Your line is open.
Faiza Alwy: Yes. Hi. Good morning. Thank you. So I wanted a bit more color on the Analytics segment. You've seen run rate growth accelerate here. So I would love to hear more about where you might have invested and where you're seeing the acceleration and how you think about the competitive dynamics in that segment?
Baer Pettit: Sure. Thank you for the question. Baer here. So what I would frame it is to say we've got three key areas of focus. The front office, both in equities and fixed income, and you saw we had very nice numbers in equities. More content, which includes insights, better coverage of private assets, doing better and being more competitive in fixed income and structured products and climate risk. So those are the key areas we're focused on and I think that we're pleased with, well, I would say we're definitely not happy with the growth number. We think we'd look to continue to be ambitious to see it go up. The retention rate of 95% is also a sign that our clients continue to use our tools in these environments. So we've been very consistent in the story here. I think we continue to have structural improvements in how we deliver the products through better technology, greater integration of our content across different types of analytics. And in keeping with the theme that we've repeated here, our client engagement is excellent, and we have a wide variety of use cases that clients are asking us to solve from going across very large firm use cases to very specific structured products, front office use cases, equity portfolio construction. So it's just a category where with the combination of our investments in content, better technology and better delivery and the expertise that we bring to clients, we hope to continue to have a good directional growth. The only thing I would add just as a slight note of caution is it is an uncertain and amicable environment and client events can occur, but those are often things that we don't control ourselves.
Operator: The next question is from Seth Weber with Wells Fargo. Your line is open.
Seth Weber: Hey, good morning guys. Thank you. I know it's early days, but with the Burgiss acquisition, when you announced it, you talked about good opportunities for joint product development and cross-selling. I'm just wondering if you could talk to any early traction that you're seeing there. Thank you.
Henry Fernandez: Yeah. So the Burgiss acquisition strategically is very -- it provides an extremely strong foundation for us to develop what we call the MSCI or the private asset classes. We, obviously, need the data and by the data, I mean, understanding of an investment and pricing of those investments to then develop the whole portfolio of investment tools that are used by allocators and managers of assets. And that portfolio of investment tools are benchmarked indices, performance attribution, risk analysis, risk management, liquidity and how we manage liquidity in terms of private assets cash flows, when are you going to get the calls, when are you going to get reception, redemptions and all of that, what it's called pacing models, asset allocation, et cetera. So the first -- so if you were to think about the integration of Burgiss, it's going to follow in three parallel tracks. The first track is clearly integration of a lot of the support functions in HR and in office space, in accounting and finance and all of that and the integration of and the alignment of the data and the data centers and technology and all of that, right? So obviously, integration of the sales force at the front office salespeople Burgiss with the front office salespeople or MSCI and all that. So that's one bucket. The second bucket over time is going to be new product development. And a big focus here would be one of the most recently -- the most frequently asked questions from clients is, are we going to develop better benchmark indices for private assets. So that will be something that will be high on the agenda for sure. But we're going to continue to expand dramatically on the intersection of private assets and climate, especially, private credit and climate. And we already started with that, but we're only scratching the surface there. That's a major expansion on that second pillar, the product line. The third pillar, which is actually the fastest one that we're going to execute on and more from loaded one is we believe that the Burgiss product line is severely undersold among LPs around the world. And we're taking steps to change that in having a lot of the Burgiss sales people working in coordination with our senior salespeople all over the world. So there are three pillars. Clearly, we want to get the money first in sales and significantly outpaced the sales growth of the business. We clearly need to integrate. And over time, we clearly want to create a lot of new products in that middle piece of analytics, right?
Operator: The next question is from Heather Balsky with Bank of America. Your line is open. 
Heather Balsky: Hi. Thank you for taking my question. Two questions. First, just with regards to capital allocation. You talked about how it's important to the company. So I thought it would be helpful to just ask kind of how you're thinking about capital allocation as you integrate Burgiss? And are you prioritizing buybacks versus M&A? What does the M&A pipeline look like? And then as a quick follow-up, you gave the growth numbers for ESG in the US and EMEA for the quarter. Can you put that in -- just compare that to what it looked like in the first half of the year? Has it -- has Europe the growth rate that you saw? Is that consistent with the first half? Is it a pickup? Thank you.
Henry Fernandez: Yes. So to look on -- in your first question about capital allocation, needless to say, we've talked a great deal about this in the past. We are always obsessed with asset allocation at MSCI. We believe that capital allocation is what gives you long-term compounding growth of a business, and it is the day-to-day capital allocation decisions that you make that ultimately aggregate to a great financial model and a great compounder over time. So that's an area that we're very focused on. And it is in two respects. One is the internal capital allocation of where we put our money with respect to organic investments, and we follow what we call the triple crown methodology, which we've talked about in the past. And then there is the "external" asset allocation, which is what do we do with dividends, with buybacks and with inorganic investments that we pursue. So with respect to the latter category, the "external part", in periods of very bullish environment asset prices are very rich. Investment or inorganic investments are very rich. Acquisitions are in options, people are tripping over each other. They bid up the properties, and you end up significantly overpaying. So in periods like that, we tend to stay -- we stay out. We have done the RCA acquisition was in the middle of our average period. But we -- in general, we are very financially disciplined about that. So we end up generating a lot of excess cash, and therefore, most of that excess cash flows back to buy back shares. In periods of high uncertainty and high unpredictability, people retrench, people hide, Board of Directors are risk averse and the like and those are periods in which we believe we can make very nice financially disciplined acquisitions and that's what we've seen in the last few months, the Burgiss acquisition, the Trove acquisition and the like. And so we'll continue to see – we'll continue to pursue a small -- relatively small bolt-on acquisitions that will use up a lot of our cash. So therefore -- and the last piece of this thing is financing. Right now, the financing environment is very expensive. We are delevering. We're at 3.1 times, 3.2 times leverage right now in leverage, maybe less. And therefore, we don't have a keen interest in increasing our debt -- our leverage at this point. So therefore, when you combine all of that, it means that we're going to have very limited cash, excess capital for buybacks in the next few quarters. And we will continue to pursue a small bolt-on acquisitions, because the market is attractive for that. And we -- unless we see some in bigger, we're likely not going to lever up at this point given this financing rates. So that's a little bit of our financial strategy overall in capital allocation at this time.
Andrew Wiechmann: And then just quickly on your second question, I would say that if I look at growth rates in the second quarter, the subscription run rate growth rates by region for ESG and Climate, they're largely consistent with the figures that I quoted this quarter. So similar dynamic where the Americas is in the teens. EMEA is in the mid-30s and APAC's in the low to mid-20s, so very consistent.
Operator: The next question is from Russell Quelch with Redburn Atlantic. Your line is open.
Russell Quelch: Yes, hi, guys. Thanks for squeezing me on. I think you did a great job of implementing a downturn playbook last year in difficult markets. You said much more cost flex than some of your peers. I was wondering, can you do this again next year if we see a big fall in equity market levels perhaps what areas of the business could you look to take costs out? And maybe do you already have some plans in place in case 2024 gets off to a tricky start, particularly in equity markets?
Henry Fernandez: We've always been extremely financially disciplined. And that clearly continues to be more -- we definitely have an ability to take out more cost. That's what we call the downturn playbook that we can put into effect in order to protect profitability in the company. If there is a big downdraft of obviously, equity values and slowdown in subscriptions, our desire, not our ability, but our desire to cut severely the new investments in the company may not be commensurate with the decline in -- with the slowdown in revenues. So we'll have to analyze that trade-off at that point. But for sure, we are committed to high levels of profitability and high levels of impact for investment in good times and in bad times.
Operator: The next question is from Craig Huber with Huber Research Partners. Your line is open.
Craig Huber: Yes. Hi. Thank you. Andy, my first question, your costs in all four segments look to us like they were down sequentially. Can you just touch on that and also in light of your overall cost guidance for the year, which just interesting me that the costs were down in the third quarter. Why is that? That's my first question.
Andrew Wiechmann: Yeah. So nothing specific to call out there other than -- and I think you see this in other quarters. Our costs will move around quarter-to-quarter based on a range of factors, including things like less recurring type of costs, nonrecurring costs, professional fees, it can be things like comp accrual adjustments related to the outlook and it can be related to things like severance and pace of spend. So there's nothing specifically to call out on the expense side relative to Q2. And so I wouldn't read into any sort of trend there. I would focus more on the guidance that we've given.
Operator: Our final question is from Greg Simpson with BNP Paribas. Your line is open.
Greg Simpson: Hey, good morning, yes. Can I just ask on the expense growth in the ESG and Climate. It looks like it's been below your mid-to-high 20s medium-term guidance. The EBITDA margin, I think, is north of 30% now. So I just wanted to check in on if there's any kind of change around investments in this segment versus any kind of slowdown on the cost side? Thank you.
Andrew Wiechmann: Yeah, nothing to read into there and no changes in generally the plans or outlook investing in ESG and Climate. It's one that we are continually calibrating as we calibrate across all segments based on the opportunities in front of us and the overall financial objectives. An ESG and Climate continues to be an attractive growth area with big opportunities. So we do plan to continue to invest in that area. The margin will -- related to the last question, expenses, expense growth and margin will fluctuate period-to-period based on a whole host of things. When you start to look at product segments, you can see some noise based on allocations moving, you can see some noise based on capitalization of software development costs. And you can see some other expense movement related to, as I alluded to perform kind of nonrecurring non-comp-type expenses or other accrual adjustments that we have. But I wouldn't focus too much on the margin in ESG and Climate this segment and as I alluded to earlier, no change to our long-term targets.
Operator: We have no further questions at this time. I'll turn it over to Henry Fernandez for any closing remarks.
Henry Fernandez: So thank you, everyone, for joining us today. And despite the more uncertain and more predictable environment, economically, financially, geopolitically, we continue to benefit from a great all-weather franchise. Our desire is to be a compounder in good times and in bad times. And we're very excited about all the opportunities that we see ahead of us in all of our product lines from index, to analytics, to ESG and climate and now obviously private assets and the opportunities we can unlock with Burgiss and with Trove. We didn't talk much about the voluntary capital markets and the opportunities there, but those will be very significant. So we look forward to updating you in future calls about all of our plans and our progress in all of this. And again, thanks for joining.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.